Operator: Greetings, and welcome to Havertys' First Quarter 2025 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Richard Hare, Chief Financial Officer. Thank you, sir. You may begin.
Richard Hare: Thank you, operator. And good morning. During this conference call, we'll make forward-looking statements, which are subject to risks and uncertainties. Actual results may differ materially from those made or implied in such statements, which speak only as the date they are made, in which we undertake no obligation to publicly update or revise. Factors that could cause actual results to differ, include economic and competitive conditions and other uncertainties detailed in the company's reports filed with the SEC. Our President and CEO, Steve Burdette, will now provide additional commentary about our business.
Steven Burdette: Good morning. Thank you for joining our 2025 first quarter conference call. While the first quarter has felt more like a roller coaster ride with the ups and downs, we are very satisfied with our results. Our Q1 sales were $181.6 million, which was down 1.3%, with comps down 4.8%. Total written sales were down 2.6%, with comps down 6.3%. Gross margins remain strong for the quarter, coming in at 61.2% compared to 60.3%. Our pre-tax profits for the quarter were $5.3 million, or 2.9% operating margin compared with $3.2 million or 1.7% operating margin in Q1 2024. Richard will provide additional details later on this call. Despite the housing market continuing to operate at 30-year lows, fueled by affordability issues, inflated interest rates, and declining consumer confidence, the quarter's written sales began positively. However, by mid-January, our business faced disruptions from several winter storms over the next 30 days, impacting several markets throughout our footprint. The presidential inauguration on January 20th shifted the mood from optimism to cautious concern due to the magnitude of executive orders coming from the White House and the potential tariff discussion. Sales for our biggest event of the quarter, President's Day, were disappointing, down roughly 10% over the two-week period. However, we saw a bounce back in written sales to roughly flat after President's Day until the end of March. While our traffic did soften over the quarter, it remained positive in the low single digits. Conversion rates continue to stabilize with some improvement compared to last year. Our average ticket rose by approximately 4% to just over $3,300. Our design business continued to improve to approximately 33% of our business or 15-plus-percent of our tickets driven by our special order business. Our design average ticket grew to over $7,400, which was up over 9%. The merchandising team is continuing to push new products to our floors, creating excitement for the sales and design teams as well as our customers – motion furniture with zero gravity recline and triple power, stationary upholstery with color options and bedrooms and more contemporary designs with upholstered beds and sleek clean lines While our upholstery bedroom and mattress categories are performing in line with our business, we have seen some weakness in our dining and occasional categories. As mentioned in our last call, we will begin rolling out our new point of purchase and tagging program later this quarter. This initiative will improve the in-store customer's experience by centralizing our special order fabrics to improve the ease of choice and introducing a new tagging system that visually provides our customers with more choices that are not shown on the floors. Also, it simplifies for our sales and design consultants the available configurations by collection. We aim to complete this rollout by Labor Day. Our merchants have been working very closely with our suppliers to address the ongoing tariff issue. The 90-day reprieve on April 9th was very helpful from the percentages that were first being floated out. Resolving the tariff issues beyond the 90-day period will enable us to make longer-term decisions around our pricing and supply chain. Our suppliers have been great partners, helping us navigate through these difficult times of uncertainty. Due to their partnership, we were able to keep our inventories moving without any disruption. We will see price increases for products from Vietnam, Cambodia, India, Indonesia, and Europe due to the tariffs. However, these increases will be minimal due to our suppliers' support. Also, there will be pricing impacts on our domestic upholstery suppliers who source parts and fabric from China. The majority of our products from Mexico will not see any price increases as this product is exempt from tariffs under the USMCA agreement implemented in 2020. We have halted most direct shipments from China due to the tariffs, which would be applied to our products at an additional 145%. We expect this to cause some temporary supply disruptions for these suppliers as they look to move production to Vietnam, Cambodia, or Mexico. Currently, approximately 15% of our total purchases come directly out of China, mainly in motion and stationary leather. What will happen after the 90 days expires in early July is a guessing game right now, making supply chain planning very difficult We need the administration to provide clarity around these tariffs to prevent further disruption for the consumer. Our supply chain team started executing our strategy to increase inventories of best-selling products during Q1. Inventories have risen approximately $5 million, or about 6% since year-end 2024, and our expectations are that they will continue to rise another $3 million to $5 million in Q2. Our initial expectations to increase inventories was focused on providing faster service to our customers, as we felt we became too dependent on just-in-time inventory with our suppliers. However, we have inadvertently pushed the impact of the tariffs out into the latter part of Q2 or early Q3 because most of this inventory increase will be tariff-free. Our merchants have proactively collaborated with the marketing and store operation teams to test more impactful promotions within our stores during Q1. We marked the kickoff of our 140th anniversary by sending a private email to our current email subscribers, expressing gratitude for their loyal support by presenting them with a special savings offer. This initiative was extremely successful, generating over $8 million in revenue in Q1. Our credit costs remain well controlled. We are implementing additional promotional strategies and credit offerings to increase the savings story in our marketing in-stores, further enhancing the purchasing decisions of our customers. We continue our push to open five new stores a year, but we'll be cautious in our approach based on current conditions. We are relocating our Daytona store due to a lease expiration. Our real estate team has secured an old Bed Bath & Beyond location, which opens tomorrow, enabling us to remain in the same area to serve our customers. Also, we are planning our third store in Houston to open in the Valley Ranch area of northeast Houston in late Q3. Additionally, we are looking to open two more stores in the Houston market in mid to late 2026, giving us five stores in the Houston area, moving us closer to our goal of having six-plus stores to properly serve the market. We have decided to close two stores this year. Our Buckhead store in the Atlanta, Georgia market on June 30th and our Waco, Texas store on September 30th. Our decisions regarding closures are always based on lease expirations and the store's long-term profitability. While we have several stores that are in the LOI phase in existing markets, we are unable to provide any further updates at this time. Our goals remain to leverage our current distribution network as we grow the company during these very uncertain times. Our distribution, home delivery and customer service teams continue to furnish happiness to our customers. Our regret-free experience is an integral part of our service that we provide to our customers. We are able to flex the staffing in these areas of our business with the current business trends due to the natural turnover, which has allowed us to maintain nice controls over our expenses. The issues facing us today, housing affordability, high interest rates, tariffs, market volatility, inflation concerns, and recession fears, are something we have experienced many times in our 140-year history. We are well positioned to grow from these challenges due to our strong brand, debt-free balance sheet, consistency in our operations, integrity, customer focus, and our people. I will now turn the call over to Richard.
Richard Hare : Thanks, Steve. In the first quarter of 2025, we reported net sales of $181.6 million, a 1.3% decrease over the prior year quarter. Comparable store sales were down 4.8% over the prior year period. Our gross profit margin increased 90 basis points to 61.2% from 60.3%. This increase was due to product selection and merchandise mix. SG&A expenses decreased $2.2 million or 1.9% to $107.2 million. As a percentage of sales, these costs approximated 59%, down from 59.4% in the prior year quarter. We experienced decreased selling costs, advertising, warehouse, and delivery expenses during the quarter. Income before income taxes increased $2.1 million to $5.3 million. Our tax expense was $1.5 million for the first quarter of 2025, which resulted in an effective tax rate of 28.6% compared to an effective tax rate of 25.1% in the prior quarter. The primary difference in the effective rate and the statutory rate is due to the expected state income taxes and non-deductible items for the year. Net income for the first quarter of 2025 was $3.8 million or $0.23 per diluted share on our common stock compared to net income of $2.4 million or $0.14 per share in the comparable quarter last year. Now turning over to our balance sheet. At the end of the first quarter, our inventories were $88.7 million, which was up $5.3 million from December 31, 2024, and down $3.4 million versus Q1 2024 balance. At the end of the fourth quarter, our customer deposits were $42.8 million, which was up $2 million from the December 31, 2024 balance and up $1.8 million versus the Q1 2024 balance. We ended the quarter with $111.9 million of cash and cash equivalents, and we have no funded debt on our balance sheet at the end of Q1 2025. Looking at some of our cash flow usage, CapEx was $6.1 million for Q1 2025, and we also paid out $5.2 million of regular dividends during the quarter. We purchased approximately $2 million of common shares under our share repurchase program during the first quarter of 2025, and we have approximately $6.1 million of existing authorization in our buyback program. Our earnings release lists out several additional forward-looking statements indicating our future expectations of certain financial metrics. I’ll highlight a few, but please refer to our press release for additional commentary. Our 2025 guidance includes tariffs currently in effect as of April 30th and does not include the effect of additional proposed tariffs that have been paused by the Trump administration. We expect our gross margins for 2025 to be between 60% and 60.5%. We anticipate gross profit margins will be impacted by our current estimates of product and freight costs. Our fixed and discretionary type SG&A expenses for 2025 are expected to be in the $291 million to $293 million range, which is an increase over the prior year, resulting primarily from our store growth and inflation. The variable type costs within SG&A for 2025 are expected to be in the range of 18.6% to 19%. We anticipate continued reductions in third-party credit costs and warehouse and delivery expenses. Our planned CapEx for 2025 has been reduced to $24 million. Anticipated new or replacement stores, remodels and expansions account for $19.6 million, investments in our distribution network are expected to be $1.8 million and investments in our information technology are expected to be approximately $2.6 million. Our anticipated effective tax rate for 2025 is expected to be 26.5%. This projection excludes the impact from vesting of stock awards and any potential new tax legislation. This completes my commentary on the first quarter financial results. Operator, we would like to open the call up for questions at this time.
Operator: [Operator Instructions]. Our first question comes from Anthony Lebiedzinski with Sidoti & Co.
Anthony Lebiedzinski: Certainly, nice to see the better-than-expected Q1 results. Thanks for providing the information about the monthly trends, how that progressed. Any way to put a number as far as the impact of the winter storms? And just also curious whether you saw any notable changes in terms of the geographic composition of your written comps?
Richard Hare: Let me start off, Anthony, with our written business trends by month and then Steve can give some additional commentary. But January, we were down almost 2% in written business. Then February, we were down on the same day of the week basis about 5%, and then we were flat in March. So pretty good improvement there in March for the quarter being down about 2.6%.
Steven Burdette: Usually, we don't talk about weather, but there was just an inordinate amount of storms. I think it was about four to five different storms that impacted us. Usually, they'll impact one or two stores. Each one tended to impact a greater quantity. We did not quantify that exact or have an exact number on that. But, certainly, as we got to the latter part after the inauguration, we started to see things slow. We were disappointed in President Day, as we said. The retail world was a little disappointed at that time. We were very encouraged what we saw after the fact, as Richard just said, ending the quarter out in March.
Anthony Lebiedzinski: Given the increased tariffs, have you guys implemented any price increases so far this quarter in response to that?
Steven Burdette: We're going to get in front of that like we did before, but it won't be across the board deal. It will be targeted. Our merchandising team is looking at that based on the product and the vendor and whether we're trying to maintain our good, better, best price points. But there will be price increases that will go into effect basically immediately, and then we'll kind of monitor that as we go forward. But they will be minimal, as I said. Our suppliers have worked with us. If the tariffs stay where they are right now, I really don’t see much impact to the consumer in that we will be able to navigate through this fine. If tariffs go back to 40% and 50% or where they were, that would be a different story
Anthony Lebiedzinski: It sounds like you think it's not going to have much of an impact on unit volumes, whatever price increases you'll be putting in place.
Steven Burdette: We're not anticipating that right now where we are.
Anthony Lebiedzinski: Thinking about what's going on here as of late here. Have you seen any notable changes from the competition in your markets just in response to everything that's going on with concerns about the economy and also tariffs?
Steven Burdette: We've seen some marketing where people were trying to take advantage of the tariffs and trying to get out in front of that to push that out to the consumer. But in trying to keep the price points advertised, their price point deals. But April is not a big marketing month, especially with Easter in it, overall for the industry. But as far as President's Day itself, I mean, it was a typical pretty aggressive promotions, whether it's credit or whether it was discount percentages that our competitors were advertising.
Anthony Lebiedzinski: As far as the reduction in CapEx guidance, I think it was about $3 million less. What exactly is that for? I just wanted to get more color on that.
Richard Hare: We took out about $3 million for right now in terms of our store expansion. Steve talked about in his comments earlier, we're focused on Houston, but just with the tariff uncertainty, we thought it would be wise to just kind of hold back a little bit on CapEx until the dust settles.
Operator: Our next question comes from Cristina Fernández with TAG.
Cristina Fernández: Congratulations on the good results for the quarter. I had a couple of questions as well. The first one is, on the tariff, I just want to confirm on the guidance that what you're assuming on the gross margin is that the tariffs that are in place now as of yesterday are in place for the full year. Is that what you're assuming that the 10% tariff on Vietnam and a lot of the Asian countries gets extended and stays that way?
Richard Hare: That's correct.
Steven Burdette: And we feel comfortable with that guidance.
Cristina Fernández: On the piece that's out of China, that 15% that you're currently pausing, I guess, at what point do you need to make a decision whether to ship that out to other countries or place some orders just to not have big holes in your assortment as we move through the year?
Steven Burdette: Our vendors have already been in that and we're already ahead of that in the first quarter moving, in case something were to happen. So they are securing or in the midst of securing additional production, like I said, in either Vietnam, Cambodia, or Mexico. And some already had production there. So they've got to move what they were producing in China to those particular factories. So that will be some of the disruption. But again, Cristina, I mentioned about our inventories increasing. We brought in a lot of inventory ahead of time on our best sellers. So we don't think that'll be an impact and will allow us time or allow them time to get repositioned.
Cristina Fernández: I wanted to go back to the performance on some of the big weekends. President’s Day weekend this year seems like there was a weather impact as well. But more broadly, as you look at some of the big events and weekends over the past year, we've definitely seen some weakness on some of the prior ones. I know a lot of players are getting very competitive and promotional in those weekends. So do you feel like it's the consumer or perhaps that Haverty is not being as promotional as others are on those weekends and that's leading to some share losses?
Steven Burdette: I don't think it's the promotional activity. Last year, President's Day, 2024, we were very pleased. We had a very good President's Day. Memorial Day, Labor Day were disappointing. July 4th was a good promotion for us. After Thanksgiving was good for us, and New Year's was good for us. So I don't think that's it, but I mentioned in my commentary there that we certainly are looking, we did some testing of things we did, and we’re going to more aggressive with our promotional activities to make sure we're there and we looking forward to Memorial Day which is the biggest holiday event of the first half of the year.
Cristina Fernández: My last question is on the new store openings last year. It seems like they're doing well based on the spread between total written orders and the comp orders. So can you talk more about how those stores are ramping up? What kind of benefit you're seeing? I think some of them have been open for six, nine months. So any color of the new stores would be helpful.
Steven Burdette: We've been very pleased overall with the new stores. It allows us to leverage because we're using our current distribution. And, of course, that's a strength of ours. And you've seen our expenses there. We've been able to control it. So it's created more leverage, certainly within our distribution. We still got opportunities with them, Cristina. Their new stores, our conversion rate, our closing rates tend to take a little bit of time to grasp with a new team as we go forward. But we certainly are pleased with where they're moving. Houston was new opening up in December and February. We need to get that store count there, so we can increase our marketing. But initial reports and initial traffic has been good and we’re pleased with where we heading. So, overall, all positive and we’re e looking forward to getting that third store open in Houston in third quarter. And of course, we're looking forward to the relocation of Daytona that happens tomorrow. But that's basically right next door where we were. We just moved buildings because of lease expiration.
Operator: There are no further questions at this time. I would now like to turn the floor back over to Richard Hare for closing comments.
Richard Hare: Well, thank you for your participation in today's call, and we look forward to talking to you in the future when we release our second quarter results later this year.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.